:
Analysts : Ryan Merkel - William Blair Steve Dyer - Craig Hallum Philip Shen - ROTH Capital Partners Christian Thomas - Sidoti & Co. Robert Manning - Private Investor Walter Young - Thompson Davis & Company
Operator: Greetings and welcome to the Hudson Technologies’ Second Quarter 2014 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. (Operator Instructions). As a reminder this conference is being recorded. I would now like to turn the conference over to Mr. John Nesbett of IMS. Thank you, Mr. Nesbett. You may now begin.
John Nesbett : Good evening, and welcome to our conference call to discuss Hudson Technologies’ financial results for the 2014 second quarter. On the call today we have Kevin Zugibe, Hudson’s Chairman and Chief Executive Officer; and Brian Coleman, Hudson’s President and Chief Operating Officer. Kevin will review the company’s business operations and future growth strategies and Brian will review the financials, and immediately thereafter, we will take questions from our call participants. I’d like to take a moment now to read the Safe Harbor statement. During the course of this conference call, we will make certain forward-looking statements. All statements that address expectations, opinions or predictions about the future are forward-looking statements. Although they reflect our current expectations and are based on our best view of the industry and of our businesses as we see them today, they are not guarantees of future performance. These statements involve a number of risks and assumptions and since those elements can change, we would ask that you interpret them in that light. We urge you to review Hudson’s Form 10-K and other SEC filings for a discussion of the principal risks and uncertainties that affect our performance and other factors that could cause our actual results to differ materially. Okay, with that, I will now turn the call over to Kevin. Go ahead, Kevin.
Kevin Zugibe : Good evening and thank you for joining us. I hope all of you had a chance to review our second quarter 2014 earnings release issued this afternoon. During the second quarter, we had a modest increase in revenues of 7%. Our revenue increase was primarily due to a significant increase in sales volumes of certain refrigerants, offset by a decrease in the selling price per pound of certain refrigerants primarily R-22. Our team here has done a tremendous job to ensure that we are satisfying the needs of our existing customers as well as securing new customers. We continue to grow our brand recognition in the industry and customers are increasingly looking to Hudson for the reclamation, refrigerant and service needs. As we reported previously, the price of R-22 dropped approximately 50% over last year’s cooling season. As a result EPAs April 2013 final ruling, which increased R-22 allowances for 2013 and ’14. As we said before, we cannot control EPAs actions. So as we move forward from these events at last April, we’ve kept our focus on meeting the needs of our existing customers and developing relationships with new customers. This approach has allowed us to drive increased volumes and service revenues during the quarter and for the year-to-date. I would of course like to achieve far better financial results for the second quarter which is typically our strongest quarter, we are taking into account the depressed pricing in our industry, I think our team did a great job. After the price retraction we saw through 2013, R-22 pricing has been essentially stable through the first half of 2014. We view this relatively sustained stability in R-22 pricing as encouraging and believe that we are pretty much through all of the negative effects that resulted from the April 2013 rule. In December 2013, EPA issued a proposed rule to establish R-22 allowances for the final five years for the R-22 phase out covering the 2015 through ‘19 time period. In this proposed rule, the EPA proposed to return to annual step down reductions and has identified a preferred method, that proposes a five year straight line reduction schedule beginning with 30 million pounds in 2015 which is a 40% reduction from 2014 levels and ending at zero allowances by 2020 when virgin production will end. During the comment period, which closed on March 10, 2014 the majority of commenter’s, including Hudson advocated for a more aggressive phase-down of R-22. In addition, 39 members of Congress signed a letter urging the EPA to accelerate the phase-down of R-22. We anticipate that the EPA will issue a final rule for the 2015 to ’19 time period before the end of this calendar year. This rule will provide clarity to the R-22 production phase-out process and we believe we will give the industry and our customers a better framework we’re planning for the ultimate elimination of virgin R-22 production while providing the need to catalyst for the growth of reclamation. We are building on our leadership position in the industry and our solid balance sheet is further strengthened by our recently completed capital raise. The additional capital will provide a good foundation from which we believe we can drive organic and acquisition growth opportunities. In addition to expanding our existing network for harvesting recovery refrigerants and the anticipated growth in reclamation, we are also exploring additional strategic partnerships for potential complementary opportunities. Hudson holds 15 equipments in process patents several of which have not been commercialized in the areas of refrigerants, reclamation and optimization of services of systems. In addition, through the year, as we have developed proprietary processes associated with the handling and processing of refrigerants with the anticipated issuance of a final rule from the EPA who we look forward to formally introducing this know-how and new technology to support the growth in the reclamation market. We believe our technologies will enhance and improve the efficiency of our reclamation program and expand our reach to accommodate the anticipated growth in reclamation. Our recent capital raise was one more step forward to position us to take advantage of the market opportunity unfolding in front of us. The access to capital and the renewal and extension of our credit facility provides capital to further our business development that to-date we did not have. With that, I’ll hand it over to Brian to provide our detailed financial results.
Brian Coleman : Thank you, Kevin. Revenues for the second quarter increased 7% to $16.9 million as compared to $15.8 million in the second quarter of 2013. During the quarter, we saw higher volumes in refrigerant sales and increased service revenues offset by decrease in R-22 pricing in 2014 when compared to 2013. Operating expenses for the second quarter were $1.5 million compared to the $1.8 million in the previous year quarter. We continue to manage our expenses as we worked through a leaner gross margin refrigerant sales season. Net income for the quarter was $308,000 or $0.01 per fully diluted share compared to $334,000 or $0.01 per fully diluted share in the prior year quarter. Now turning to the balance sheet, as of June 30 2014, the company had $24.5 million in inventory, a decrease from $34 million at December 31, 2013. Inventories have decreased due to the sales of higher cost inventory from last year and the normal reduction is removed through the selling season. As expected, we are seeing a corresponding increase in accounts receivable. At the end of the quarter, we had over $24 million availability on our credit facility and approximately $35 million in working capital. As you know, during the quarter, we completed a $15 million capital raise which further strengthened our balance sheet. Additionally, our lender PNC agreed to a three-year extension of our $40 million credit facility on similar terms as our initial agreement. These two events improved our balance sheet and positioned us for organic and acquisition growth opportunities. The services, refrigerant and reclamation industry, all of these are very fragmented. We believe there will be further consolidations in near and long-term. We have been carefully evaluating various potential acquisitions and the pipeline of opportunities is increasing. That said, as you can respect, we cannot speak to any specific opportunity. Now I’d turn the call back over to Kevin.
Kevin Zugibe : During the last few challenging quarters, we had placed emphasis on executing well on the elements of our business that we can control. By law R-22 production will be eliminated at the start of 2020 and we’re optimistic that the EPAs filed production rule for the year 2015 to 2019 will return to an aggressive step down method. R-22 is very environmentally harmful substance from both an ozone depletion and global warming perspective, and EPA as heard from a broad cross-section of stakeholders, including members of Congress that a more aggressive phase out will have the best outcome. For many years we have been focused on improving the efficiency of our operations and expanding our customer reach. Much as we did in the mid-90s, we are currently looking to go beyond organic growth as we remain confident in the long-term opportunity for reclamation. As large shareholders in our company, we believe we’re all poised to benefit from the opportunity that is about to unfold. Thank you for your interest and support of our company. Operator, we’ll now open the call to questions.
Operator: (Operator Instructions) The first question comes from Ryan Merkel of William Blair, please go ahead.
Ryan Merkel - William Blair: The first question I had was, it was not clear that R-22 prices were stable in the first half. Does this speak to just the demand environment is stable and the big reach of haven’t done anything in front of the EPA announcement later this year.
Kevin Zugibe : I guess it’s a combination of different things, the couple that you just mentioned, probably more important inventories. One of the things that we talked about is, last year, not just Hudson, but most people in the industry would have had inventory write down. People would have been upside down on the inventory in the like, so part of all the things that are happening this year are similar to what we have in operating through. People are selling out and recognizing losses on their inventories. People recognize that there is because it is public now, where it wasn’t in the past with stockpile. So you could say at one-hand the producers haven’t had anything particular to identify a rationale or reason for price increase. As it relates to the early part of the question, the demand; the demand has probably been a good season, not necessarily great season, meaning we had a fair amount of warm weather early. We haven’t had quite as many cooling days as we did last year this time in terms of the third quarter. But on overall days it’s been a good year for volumes.
Ryan Merkel - William Blair: And then my follow-on would be, on the second half of the year, is it fair to assume that gross margins can creep up from second-quarter levels, now that you’ve sold out of most of that high cost inventory,
Kevin Zugibe : The gross margins probably will creep up only a little bit part of this overall year is not just the 22 story. There has been, we haven’t talked a lot about it because 22 the majority of it was sold in the aftermarket. But the HFC classes of refrigerants have also been the depressed. As a matter of fact, there was a claim made that the Chinese Manufacturers were price dumping one particular HFC class called 134A and there has been success in that endeavor to impose a tariff on that product. But that only happened let’s say recently. The other classes of HFCs have also very depressed. So there has been a very little margins on those other lines as well this season. So the margins will begin to be better not across the board if you will particularly when you isolate the HFC class but the 22 we should start to see higher margins.
Operator: Thank you. The next question is from Steve Dyer of Craig Hallum. Please go ahead.
Steve Dyer - Craig Hallum: I am wondering if you are seeing some share gains that’s driving kind of some of this volume. It would appear at least maybe Minnesota is not the appropriate place to judge the summer buy. But certainly been cooler than normal here and yet your volumes are very strong, what are you seeing kind of one the share side of things?
Brian Coleman: Definitely we are picking up new customers and part of the growth also is we picked up new customers last year even in that crazy year. So we are gaining let’s say share it’s difficult for us to measure exactly since it’s hard to know exactly what the overall 22 market is on an annual basis, but yes I think that’s a fair statement. But it also comes back fundamentally to our strategy or statements to the shareholders that we do expect to see double-digit revenue growth each and every year and we project that out as far as we could see. Because there is still so many potential customers out there that either had poor or reclaim programs and once we sit down with them and convince them that reclaim is important and get them into a program, then that gives us the opportunity to sell other products and services beyond the reclamation. So we feel strongly there is still quite a number of people out there that we will look to bring on as reclaim customers primarily but then also allow us to sell official products and services.
Kevin Zugibe: So just one thing on what Brian said. One thing is adding to it too is we are having a very good service this year and for us service sales refrigerant. So clearly even if it’s not new customers which a lot of it is, existing customers we can tend to sell more to more service shelves we do. And so this has been a significant increase for us, all quarters so far this year for service.
Steve Dyer - Craig Hallum: And then as it relates to the EPA ruling, one of the push backs that you hear from a consumer standpoint anyway is they are going to get taken to the cleaners and price of R-22 if this goes into effect or certainly if it goes into effect in anymore of a stringent than has been already recommended. Is your sense at all that the producers are sort of artificially maybe holding down the price or at least not raising it according to demand just to kind of wait until that ruling happens? I mean do you think the price is sort of pure supply and demand right or is there maybe some artificial lid on that?
Kevin Zugibe: We think the prices are always artificial so far meaning it’s never been supply and demand, it’s always been plenty of gas out there. So yes, we think right now the producers, they’ve had price increases recently which that’s why we say we’re optimistic also which kind of stabilize the market rather than a fluctuations. We haven’t seen a big increase but yet we have seen it somewhat stabilize with the price increases. So they don’t really have a lot of justification necessarily to raise the prices when there is still so much volume out there. Without knowing that there is going to clearly be shortage just although we all know it’s coming we feel confident it was end of coming. Until it’s in writing, until that EPA rule comes out, I don’t know that they would have any type of rationale -- really any logic to say, hey we are going to jump the price up even though we believe they would like to jump the price up we think it’d be helpful for us, we think they would like to do it. But again when you know there is a lot of pounds out there, how do you just jump the price up. Unless you know a shortage is coming and I am going to produce less pounds, I know we have so many customers, the price -- then justification like they have in the past we think it put in place. But on your first point that as far as the end user getting a higher price on all that, we made the case even face-to-face with the head of the EPA to say when you look at the dynamics in our industry, it’s not just about the end user getting a higher price, there is a value to an end user potentially having a higher price. If you were leaking a lot of gas in your system, yes, you don’t want a higher price, but you should fix the leak. If you have a tight system and you’ve watched your system it’s an asset just like when the CFCs were phased out, we paid a lot of money to people for, the gas which allowed them to install the newer system. So that will offset their installation cost. So it’s a value to you, that product can be a value if you hold it tight, if you are consistently leaking, yes, it’s a cost to you. So it’s only the system owners who are not fixing their leaks that that would be a cost of them that is coming up in price, and telling the other people we paid a lot of money for the gas when it’s kind of retrofit. So we tried to explain that to the EPA so that if you are just hearing end users complaining, it’s necessarily fair. It’s only the ones with the leaking systems that was complaint in that.
Steve Dyer - Craig Hallum: Yes, that’s helpful. One last one if you, if you look into your crystal ball and when the EPA rolling, sort of it does come down. Is you assumption or your thought that prices are going to spike on at 2012 or do you think it’s going to be more of kind of a grind higher, it will obviously come at a seasonally lower slower part of the year. But, I mean what’s your best guess as to what prices do at that point?
Kevin Zugibe: We don’t know obviously, so our best guess back to this is we would suspect it to be not quite as severe of a jump as it is like in 2012. It doubled in an hour or more than doubled in an hour. It probably won’t be quite severe like that. The question becomes, does it get to the same point and just may take more than an hour for example. It probably is going to get to the same point, it just may take a few quarters to get there, let’s say versus immediately. But as you said it’s coming at an odd timing and towards the end of the year, for once off the actual season. In addition, it’s well known now since what happened in 2013, that there is inventory in the chain out there. So this is gas out there. So when it happened in 2012, it probably was no one knew, the stockpile’s never knew, there [indiscernible] was any and then they just at right at start of the season, brought it back at a good time, got the no action assurance letters and they jumped the price up. So yes, we think it’s a little different as you said. The time of the year, but also the knowledge of how many pounds, think that will work to some of these pounds over the quarters, you will see the increase. But I think it will be a gradual step in the quarters.
Operator: The next question is from Philip Shen of ROTH Capital Partners; please go ahead.
Philip Shen - ROTH Capital Partners: During our checks process, we have learned that inventory in the channel might be higher than previously decided. Throughout the year we have been taking and we have been learning that, some kind of half to four seasons worth out there, but we heard this time around that there could be as much as two seasons worth, and the rationale behind then kind of discoveries that EPA is focused on assessing inventory as they go through their process now. To what degree do you think this might be true? Perhaps that there is more inventory than originally thought and that could be driver to pricing through the season being kept low at $6 to $7 range.
Kevin Zugibe: We haven’t seen evidence of greater or normal inventories. We have seen inventories as high as one-year supply, but we have also seen inventories that lived half a year, and you observe that as well. I’m not quite sure your reference to the assessments of the EPA and how that might implicate or result in some higher inventories. I’m not sure where that will be coming from, but we haven’t seen any material change. There hasn’t been any reported change by the industries stakeholder groups that reported an inventory so. I’m not sure where it’s coming from. And in addition, we worked for the EPA for years, and one of the things we pushed for years were these 114 letters for them to do, to go into the industry to find out what is the stockpile. So go to top 9 or 10 holders and say what are you carrying in 2013 or 2012, 2013. So we kept pushing this and even harder when they came out with the ruling in 2013 because we know that they allowed too much production in April and they came out with the new ruling. And so they did go out, two years in a row on the114 letters. And the benefit to us into the industry is we always knew there is a lot of inventory out there. We wanted to make sure the EPA understood that there was a lot of stockpiling, that they can count. And basically there are vintage modeling that they use, so that they can produce less pounds. So we thought it was a good news that it came to light before the final rule comes out. Because rather than find out after the fact. So we pushed that very hard. So I think maybe what you are hearing too is a reaction to seeing the stockpile information, not but is necessary how much that is higher. But it is high and that’s what the industry does know it’s out there. That’s why what I was getting that before when I said we wouldn’t expect the price to really jump like it did in 2012 instantly. It’s because the knowledge is out there. Hey you do have the stockpile. This is artificial right now. No one is short on 22 out there. They will be short, but now that information is out there which is actually good we think because that is really justification for the EPA to cut this down even more.
Philip Shen - ROTH Capital Partners: Right. Indeed half the story is that the EPA can use that information to support industry going forward. In terms of volumes, can you speak to the overall gas volumes in Q2, and were they up or down, and by what magnitude in the quarter?
Kevin Zugibe: They were up very significantly. The thing though we’re kind of cautious about quantifying it for you not that we can’t obviously but last year’s second quarter weather-wise was poor. So again you end up with in some respects in apples-to-orange comparison. We believe that for the nine months and we always talk about this as a nine month season. We are absolutely going to do better than our traditional 10%, 12%. We probably are going to end the year up closer to 20%. So it is going to be significant relative to other past seasons. But you have to keep in mind last year’s third quarter was a very strong volume season because we got a lot of hot weather late last year primarily in the third quarter and it was sustained all the way through to September. So we may not be exactly comparable to last year’s third quarter because last year was so strong and then the second quarter was weak if you will. So at the end of the day from this season it will definitely be ahead, it would be ahead for sure above our normal 10% to 12% range.
Philip Shen - ROTH Capital Partners: Okay, great. You mentioned in the release that there are opportunities for next generation refrigerants. I think this is the first time we’ve seen this and we’ve a sense for what they might be, I was wondering if you might be able to elaborate more on these next generation refrigerants as well as give us a sense for any timing or magnitude of what that opportunity might be.
Kevin Zugibe: We are having a dialogue about whether the governmental agencies or individual organizations to think about their refrigerants as potential assets and thinking about the difference of using recycled or reclaimed refrigerants versus virgin and what the overall environmental benefit is, which there is. The carbon footprint of recycling is far lower than the carbon footprint to make new refrigerants. So on the one hand, we would talk about HFCs which is the next generation refrigerant’s as not necessarily significant opportunity for reclamation because the price is so low. But now it’s becoming potentially an opportunity because people are starting to think about should we have X-percent of our supply be reclaim or should we consider using only reclaims. So the kind of dialogue about refrigerants is changing and probably we will evolve in this changed way more or so over the next several years. Simultaneously, there is still the conversation about phasing out HFCs because they are high global warming gases, not so much ozone depleting and also in this same vein, the EPA are taking steps to review these, it’s called snap listed products, these HFC classes and determining whether or not we should have some set of provisions or phase-outs of them or phase-outs of certain applications and all this is simultaneously occurring while we are waiving also for the R-22 rule.
Operator: Thank you. The next question is from Christian Thomas of Sidoti & Co. Please go ahead.
Christian Thomas - Sidoti & Co.: I had just one question. Can you just provide a little color on where exactly the proposed production ruling is internally in the EPA and then what’s the kind of next step in the process.
Brian Coleman: At this point we were told, actually this week, early this week, it’s only one, two steps from the EPA to OMB. And that’s the first step now if I guess OMB could have it for 90 days, not that we think they necessarily will but that would be the max, I guess they could have it and it will go back to EPA and they will send out same rule. So we are happy to hear that they finally went OMB earlier this week, because we knew it hadn’t so that just got later and later, we wondered when it would go. So that’s number one. Obviously, they would have to have this out this year for production for next year, because at this point not a pound can be produced and reported starting in January of ’15. So for the industry to have new gas out there, they have to come out with a rule or a non-action assurance later to the producers to let them understand what they can do. So one of the two will happen, but the fact that it went to OMB, it looks to us like in matter of months from now later in the year obviously that, that rule will be back.
Christian Thomas - Sidoti & Co.: Okay, this is what they are going to push it off to you last minute again?
Kevin Zugibe: Hard to say. We can’t -- we need to guess because [indiscernible] it’s wrong time we guess. So we need to guess on what’s going to happen but from all of the words we hear is that because of how high profile this issue has gotten ever since, really since 2013 rule in April it came out. OMB is all over this already. So do they need the full 90 days? Will they push -- we doubt it. We doubt it, we doubt if they would take the whole 90 days to put it that way
Operator: (Operator Instructions) And the next questions from Robert Manning, a Private Investor; please go ahead.
Robert Manning - Private Investor: Looking ahead to the days when you’re going to be doing a lot more recycling, could you talk at all about the competitive strength and weaknesses of Airgas in national refrigerants?
Kevin Zugibe : Both companies are very large in terms of revenues, Airgas obviously multibillion dollar company, public. The refrigerants component of their business, we don’t believe this is large enough to be listing reportable segments, so there isn’t a lot of detail information there. But both are similar and that they have a very large distribution serving contractors who are then performing repairs and maintenance on equipments. So their business model as it relates to refrigerants distribution, it’s similar to all of the other wholesalers out there to the extent that they’re supporting primarily residential, like commercial refrigeration type contractors that are then servicing equipments out there. So as a consequence in that particular structure frame of distribution, they’re competing against other wholesalers out there which require, a number of them some public, most however private. We are tending to try and support that overall network. We do obviously perform recycling of reclamation for contractors that are working on larger system -- [indiscernible] on larger systems, as well as probably to some extent National Airgas do that type of work as well. But for us we are more trying to support the overall distribution network out there and not looking to compete against them or their customers. And that’s probably the single overall distinction.
Robert Manning - Private Investor: Do Honeywell and Arkema do any of their own recycling?
Kevin Zugibe : No. None of the producers do their own recycling to our knowledge. We’ve been doing a lot of reclamation for the producers for many-many years. I don’t believe any even have any internal capabilities.
Operator: The next question is from Walter Young of Thompson Davis & Company; please go ahead.
Walter Young - Thompson Davis & Company: I wondered if you can give us some general comments on your view of potential acquisitions and are there any hurdles from regulatory standpoint for these acquisitions, or is it basically a free market?
Kevin Zugibe : I’d say it is basically a free-market. I doubt we would run into any type of -- just this type typical redistribution of the assets or lines of business or things like that. I doubt we would need any of those kinds of thresholds, back to efforts where we’d obviously spend time in the past, but we were spending a lot more time now because we see more opportunities now than we would have previously.
Operator: Thank you, we have no further questions in queue at this time. I’d like to turn the floor back over to management for any closing remarks.
Kevin Zugibe : Okay, I’d like to thank our employees and our long time shareholders and those who have recently joined us really for their continued support. Thank you everyone for participating in today’s conference call and we look forward to speaking with you after the third quarter. Thank you.
Operator: